Operator: Good day, ladies and gentlemen, and welcome to the Yelp, Inc. Third Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session, and instructions will be given at that time. As a reminder, this conference call maybe recorded. I would now like to turn the conference over to Wendy Lim, Vice President of Investor Relations. You may begin.
Wendy Lim - Yelp, Inc.: Good morning, everyone, and thank you for joining us on Yelp's third quarter 2016 earnings conference call. Joining me on the call today are CEO, Jeremy Stoppelman, and CFO, Lanny Baker, our Chief Operating Officer, Jed Nachman will also join us for Q&A. Before we begin, I'll read our Safe Harbor statement. We will make certain statements today that are forward-looking and involve a number of risks and uncertainties that could cause actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. In addition, we are subject to a number of risks that may significantly impact our business and financial results. Please refer to our SEC filings, as well as our financial results press release for a more detailed description of the risk factors that may affect our results. During our call today, we will discuss adjusted EBITDA, non-GAAP net income and non-GAAP EPS, which are non-GAAP financial measures. In our press release issued this morning and our filings with the SEC, each of which was posted on our website, you'll find additional disclosures regarding these non-GAAP financial measures and a reconciliation of historical net income to adjusted EBITDA and non-GAAP net income and GAAP EPS to non-GAAP EPS. And with that, I will turn the call over to Jeremy.
Jeremy Stoppelman - Yelp, Inc.: Thanks, Wendy. Third quarter results were strong. We maintained our first half momentum generating record levels of both revenue and adjusted EBITDA, even while investing to fuel long term growth. Results exceeded our expectations as local revenue grew 41% year-over-year for the second consecutive quarter, while margins expanded significantly compared to the same quarter last year. The strong performance of our local sales force, coupled with product innovation within the multi-location in self-serve channels drove the growth in local revenue and let us to raise our outlook for 2016. While our domestic business continues to thrive, it's become apparent the changes in the international distribution environment have impaired the near-term growth prospects of our business overseas. As a result, we have decided to scale back investment outside our domestic market. This was not an easy decision as it may impact up to a 175 of our valued employees abroad. While they perform their jobs admirably, our strategy has not panned out. I'd like to express my deepest appreciation for all their hard work and dedication. We plan to reallocate our resources investing incrementally in four priority areas: driving engagement with our consumer and business owner apps; expanding our transactions functionality; broadening our go-to-market strategy; and augmenting our brand marketing with performance marketing. With about 70% of paid views coming from the Yelp app in the third quarter, we're focused on driving high levels of app engagement for both consumers and business owners. For example, we recently integrated Nowait which allows users to get in line remotely at more than 3,200 popular restaurants nationwide. We're working just as hard to drive engagement on the business owner app, responding to customer interest in lead tracking and review notifications. To make our apps even more valuable, we're investing in product development resources. Our continued development of transaction capabilities has created a rapidly growing revenue stream of $60 million over the last 12 months and successful new offerings like Request-A-Quote. Request volume grew 20% from the second quarter to the third quarter this year and we're seeing strong adoption of new features and applications, such as the ability to upload photos with requests, and expansion into new categories with Request an Appointment. Enhancements such as showing businesses' response rates are driving high engagement between consumers and businesses with three quarters of requests receiving responses within 24 hours during the third quarter. We also recently began testing ways for advertisers to compete for the valuable leads Request-A-Quote generates. While Request-A-Quote is just one example of the transaction opportunities we're working on, we believe it has the potential to significantly impact our business over the long-term. When businesses advertise on Yelp, they experience compelling results. In fact a commissioned study by professors at Harvard Business School and Lehigh University supports that advertising on Yelp delivers results for businesses. In their study of more than 18,000 restaurants, the researchers noted significant increases in views of advertisers' pages, clicks for calls and directions and traffic to their websites. To introduce more businesses to the value of Yelp advertising, we're expanding the distribution of our ad products. We're accelerating our push into the national channel by investing in products that unlock the power of Yelp data and expanding our sales teams to drive account growth and penetration. We're elevating the sell-through channel with marketing and innovation to attract and convert more local businesses. For the small to medium-sized businesses that make up the majority of our advertisers, we're also investing in clients' success, cross-selling and retention initiatives. Finally, marketing has been a focus this year and we're encouraged by the results we've seen. Awareness, consideration and familiarity are all at their highest levels since we launched our television campaigns and we've seen a significant increase in the usage by the users we've surveyed. To build on the growing awareness of Yelp, we're evaluating the effectiveness of direct response marketing alongside our brand marketing campaigns with the objective of further stimulating traffic and transactional activity. These are just a few of the initiatives we're pursuing today. We've made great progress in expanding Yelp's presence in the local advertising and transactions marketplaces this year and we believe that our brand, scale, talent and financial resources will help us capture much more of these markets in the future. Now, I'll turn it over to Lanny.
Charles C. Baker - Yelp, Inc.: Thank you, Jeremy. Yelp's third quarter and year-to-date results highlight a number of important characteristics of the business. First, our ability to accelerate growth in the core local advertising business points to the size of our market opportunity. Second, the growth we're seeing across transactions shows the opportunity we have to serve users and businesses in evermore direct and valuable ways. Third, the improving profitability we've seen with sales and marketing leverage, helping us convert 50% of third quarter revenue growth into adjusted EBITDA growth, points to Yelp's underlying earnings power. And fourth, strong free cash generation with the business adding more than $50 million to cash balances year-to-date. This highlights our ability to continue to invest in the business and strengthen our market position. Before I discuss our third quarter results and the outlook for the rest of 2016, I want to provide greater detail around our plans for Yelp's international operations. We're planning to wind down our sales and marketing activities outside the United States and Canada, and reallocate the financial resources, formally directed overseas, toward our core business in North America. We expect the majority of the realignment to be completed before year-end with a small tail of revenue and minimal expense running off over the first few quarters of 2017. For context, 1% or about $5 million of Yelp's revenue year-to-date came from the affected operations and regions. Meanwhile, our net operating investment in international was greater than $10 million in the first nine months of 2016. We anticipate incurring a one-time restructuring charge of approximately $2 million to $4 million during the fourth quarter of 2016, most of which is expected to be severance costs associated with up to 175 of our 4,350 worldwide employees. We plan to maintain and grow our engineering teams in London and Hamburg. These groups that support our core product experience are not impacted by today's announcement. Finally, as Jeremy stated earlier, our plan is to redirect spending from international and increase the investment behind our most compelling domestic opportunities. Accordingly, we do not expect an immediate step-up in margins and EBITDA, but rather are planning to invest to drive stronger growth and profitability in the long-term. Now, let me turn to our financial results and the 2016 outlook. Total revenue for the third quarter of 2016 grew 30% compared to the same quarter of 2015, reaching $186 million. On a comparable basis, excluding the effect of eliminating brand advertising on Yelp this year, revenue grew 38% year-to-year in the third quarter. Third quarter revenue was a couple million dollars stronger than we anticipated in our outlook, and the upside came from Yelp's core local business. Local revenue of $164 million grew 41% year-to-year powered by strong gains in all three channels: local-local; national and multi-location; and self-serve. Local advertising accounts grew 30% year-to-year and average monthly revenue per advertiser grew year-over-year in all three sales segments. The self-serve channel was a real highlight in the quarter, with self-serve revenue more than doubling year-over-year, and year-to-year growth accelerating from the second quarter to the third quarter. The progress we're making in self-serve contributed not only to the top-line outperformance in the third quarter, but also to the bottom-line and to our margin trajectory given the attractive profitability characteristics of this channel. You can see why we're investing in self-serve. Transaction revenue grew 33% year-to-year to $16 million in the third quarter of 2016, and remained strong across both Eat24 and Yelp Platform. The number of transactions on Yelp Platform was particularly strong, more than doubling year-to-year, demonstrating the power of connecting Yelp's large base of purchase-oriented consumers with great local businesses. As Jeremy noted, we plan to invest more to enable and grow transactions on Yelp Platform and at Eat24 in coming quarters. Other revenue of $6.8 million in the third quarter was essentially even with year-ago levels. On the expense side, cost of revenue grew only 2% year-to-year in the third quarter, and gross margins expanded by more than two percentage points to 92%. We're seeing the benefit of increasing revenue and efficiencies related to our scale. Overall operating expenses including sales and marketing, product development, general and administrative, and depreciation and amortization, grew 21% year-to-year in the third quarter, which was about nine percentage points slower than revenue growth in the quarter. Sales and marketing expenses of $99 million in the third quarter were 20% higher than in last year's third quarter and equated to 53% of revenue for the quarter, down from 58% of revenue in the third quarter of 2015, and just over 57% of revenue in the first half of 2016. These improvements reflect a number of factors, including higher local sales productivity, the growing contribution of national and self-serve channels, and operating leverage against the marketing spend that is no longer scaling upward at the rate we've seen recently. Total advertising spend in the third quarter of 2016 was $12.4 million, which compares to about $11 million in the third quarter of 2015. We actually spent almost $2 million more in marketing than we'd originally planned during the third quarter, taking advantage of better-than-expected overall performance to invest for long-term brand awareness and traffic growth. Product and development expenses were $36 million in the third quarter, up 28% year-to-year, mostly due to hiring we've done to expand and strengthen our engineering team. General and administrative expenses grew 19% year-to-year to $25 million in the third quarter of 2016. Relative to revenue, general and administrative expenses were 13.4% in the third quarter, down by more than a percentage point from a year ago. Depreciation and amortization was $9 million for the quarter. Turning to measures of profitability, operating income was $2 million for the third quarter, improving from an operating loss of $10 million in the same period of 2015. Net income was $2.1 million for the quarter, which equates to $0.02 per fully diluted share in GAAP earnings, also nicely improved from losses in the year-ago third quarter. Adjusted EBITDA was $33.7 million for the third quarter of 2016, an increase of more than $20 million from a year ago. Now, turning to our business outlook. Based on the upside we saw in the third quarter and the momentum within the business, we're raising our revenue and cash flow outlook for 2016. We now anticipate full-year revenue of $709 million to $713 million for 2016, which would represent a 29% increase over 2015 at the midpoint. The new full-year revenue outlook includes a fourth quarter 2016 revenue outlook of $191 million to $195 million, growth of about 26% year-to-year at the midpoint of the range. We are also increasing our adjusted EBITDA outlook for 2016. The new outlook is a range of $111 million to $115 million for the full year of 2016, an increase of just over 60% year-to-year at the midpoint, even as we're actively investing for the future. The fourth quarter adjusted EBITDA outlook is a range of $36 million to $40 million. Our current outlook includes an expectation that stock-based compensation expense will be about $85 million to $87 million for the year and $24 million to $25 million for the fourth quarter of 2016. We anticipate that the share count for 2016 will be about 78 million shares on a primary basis and 82 million fully diluted. Let me wrap up with this thought. Tens of millions of users rely on Yelp's mobile app each month to find great local businesses. Yelp users have now written over 115 million reviews and 3.2 million local businesses have claimed their presence on Yelp. Our roster of 135,000 active advertisers is growing rapidly and our coverage extends across dozens of business categories in the entire U.S. Our product and engineering team is one of the largest and most focused in the local market, and we have a business model that, as third quarter and year-to-date results show, can generate strong revenue growth with attractive operating leverage and healthy free cash flow. We see plenty of opportunity to invest and to grow, and we are focusing our energy, resources and execution on what we believe are the most compelling opportunities in front of Yelp today. And with that, we'll open up the call for questions. Operator?
Operator: Thank you. Our first question comes from the line of Mark Mahaney of RBC Capital Markets. Your line is now open.
Mark Mahaney - RBC Capital Markets LLC: Okay. Thanks; two questions. On the Request-A-Quote, could you spend a little bit of time talking about the P&L potential, the revenue potential of Request-A-Quote, how early you are on it, how you think about monetization, different pricing? And the impact that has on your advertiser base or is your customer base, is it kind of a cross-sell opportunity? Is it something that's bringing in merchants that wouldn't have used you before, but they are intrigued by that? So any color around the potential around that? And then just broadly on the transaction scope, the biggest contributor is currently the transactions, and maybe a few that are growing faster than the others. Any more color just broadly on transactions? Thanks a lot.
Jeremy Stoppelman - Yelp, Inc.: Sure. Hey Mark, I'll try and answer these questions here. So Request-A-Quote, doing really well, grew 20% quarter-over-quarter. We think there is a lot of potential there. We haven't put any real numbers at this point around how does that translate over the medium term and long term. We are just beginning our tests to make it a paid product and build it in that way, and so we're kind of early, we're doing a lot of experimentation. But we are seeing a lot of promise, so we'll keep you posted on that. We've also seen some category expansion as well, so it started with Request-A-Quote, but we also have things like Request an Appointment which works better in a category like beauty or spas, as we've rolled that out now fully and are seeing some traction there. So overall, it's a really exciting area for us. There was also some product development, you can add photos now when you're communicating with business centers and they can add them as well, and we're seeing some traction and great engagement there. It's also driving business owner app usage, so that's another positive. There is a pressure to respond quickly and in fact most of our Request-A-Quote get responded to within 24 hours and so that's driving a lot of adoption of the business owner app because business owners are realizing it's important to be responsive. Transactions continues to be a really promising area for us as well. We've got Eat24 driving a big portion of that, but there is also some new efforts, particularly we're fully rolled out with Nowait for their 3,200 restaurants with adding to the waitlist. And so if you do a search for our waitlist restaurant or a restaurant that uses waitlist on Yelp, you can then write from the Yelp app, add yourself to the list, and we're already seeing some positive feedback from consumers on that. It's turning up in Yelp reviews where they're saying, hey this place is really busy, it's hard to get in. I was headed over there for brunch, but I added to waitlist and saved myself an hour, and so that's really exciting area for us as well and we'll continue to add important Platform partners in the future.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Jeremy.
Jeremy Stoppelman - Yelp, Inc.: Sure.
Operator: Thank you. Our next question comes from the line of Mark May of Citi. Your line is now open.
Mark A. May - Citigroup Global Markets, Inc. (Broker): Thanks. Thanks for taking my questions. I had two, if I could. If I'm looking at the right numbers here, it looked like your sales head count grew only by about 100 net sequentially, I think that's lower than typical in Q3. I wonder if you could talk a little bit about – is that just an intentional thing where you don't feel the need to have to grow your sales head count as much, given the performance of self-serve and other channels or is there something else going on there? And then, I'm wondering if you could dive a bit more into some of the key areas where you plan to reinvest some of the savings from the international reorg? Thanks.
Jed Nachman - Yelp, Inc.: Hey, Mark. This is Jed. So, on the head count, we grew about 19% on the head count side, which is relatively in range of the 20% to 30% outlook that we've given for the year. It's interesting to note that we're in the process of decoupling revenue growth with head count growth, and that's kind of indicated by the strong revenue growth number and the margin results we saw over the quarter. We're able to do more with less and so, we're really happy about kind of showing the power and leverage in the model over time, and decoupling that head count from revenue growth.
Charles C. Baker - Yelp, Inc.: I think from an investment perspective looking to domestic business, Mark, we see great room to invest organically and internally. We're in a kind of a nice position right now, where there are a lot of levers in the business that are really clearly driving growth. So, we're going to continue to invest in product both on the consumer experience to make it captivating and engaging, and also on the business owner side, really trying to make Yelp the sort of daily place that businesses are connecting with consumers. The transaction area for us, as Jeremy talked about, we've got a lot of velocity in transactions in sort of restaurant and related. And with Request-A-Quote, we see now avenues to extend our transaction capability across a broader number of categories. So we'll be investing there. The sales part that Jed just talked about, we really have our core very, very well oiled and very effectively executing local sales team, we'll continue to grow that. We're also as we've talked about making kind of incremental investments in growing the size and the nature of our national sales force and putting marketing and product dollars behind the self-serve. And then we're building a more sophisticated function around account management. So there's a lot for us, a lot of room we see to invest real productively in the sales. And then finally, we talked a little bit about performance marketing. We've gone from our primary marketing vehicle in sort of years past being our community managers, who do such great job of driving the content on the site. Couple of years ago we began to add to that brand and awareness advertising and now feels like the time to add to that a bit more performance marketing. So all of these are levers that have real clear drivers to the top line and bottom line. And they just feel like very compelling opportunities for us to shift dollars toward.
Operator: Thank you. Our next question comes from the line of Kevin Kopelman of Cowen & Company. Your line is now open.
Kevin Kopelman - Cowen & Co. LLC: Hi, thanks. I just wanted to ask about your comments on performance advertising, if you could give a little bit more detail there? And what your plans for performance advertising means in the context to your overall ad budget? Thanks.
Jeremy Stoppelman - Yelp, Inc.: So I think in the context of the overall ad budget, as the company grows, I think, we'll continue to be good stewards of our brand and our audience and I think, over time, the marketing spending that we do probably grows along with the size and scale of the company. It won't grow as quickly as it has in the last couple of years, that's for sure. I think within that, we're constantly evaluating what the sort of mix of advertising and marketing vehicles is and what the mix of advertising and marketing objectives is. Having done what we've done in the last 24 months to raise visibility and awareness and seeing really good results there, we will continue to do that. I think at the margin the mix will shift a bit, for the next several quarters or maybe couple of years, that the mix will shift toward a bit more performance marketing. What do we mean by that? Well, we have found a great ability to spend against customer acquisition in sort of business marketing through – you look at the growth that we're seeing in claimed businesses and then the conversion of claimed businesses into advertisers through the self-serve channel, that's an important area for us. Certainly as the company becomes more transactionally oriented, whether you're talking about Eat24, Yelp Reservations, Nowait and any of those other sort of transactional engines of our own or of partners, there are new found opportunities to invest against acquiring customers and driving them into those businesses, and then as well just performance marketing to bring users on to Yelp, to activate users within Yelp. We feel like there are at least three different main channels for us to invest a little bit more directly than we have in the last couple of years.
Kevin Kopelman - Cowen & Co. LLC: Thanks. And then just to follow-up on the self-serve part, I know in the past, one of the challenges was getting SMBs to sign on at high enough levels of spend through self-serve. Do you feel like you started to solve that and what have you done exactly there?
Charles C. Baker - Yelp, Inc.: Yeah, I mean, I think when we look at revenue per account in the self-serve category, we're doing some promotional activities there that are part of the marketing, that are quite different than what we do in our local sales channel. But if you started to hold those promotional activities aside, we're now at a place where we've really been able to raise the selling price and raise the budget, just primarily through sort of product execution and better merchandising and marketing in our small business flows. As we're saying that the revenue growth in that channel is still relatively small, but it's well over 100% year-to-year growth, and that growth is coming really almost 50-50 a combination of new accounts and higher revenue per account. So, we're making good progress there. There's lot more to go, but it does feel though – it does like we've made some progress on the pricing side there.
Kevin Kopelman - Cowen & Co. LLC: Thank you.
Operator: Thank you. Our next question comes from the line of Matthew Thornton of SunTrust. Your line is now open.
Matthew C. Thornton - SunTrust Robinson Humphrey, Inc.: Yeah. Hey, good morning, guys. Thanks for taking the question. Couple if I could, I guess. First, just on Request-A-Quote and marketing, as we think about the increased marketing going forward and some of that mix shift towards performance marketing, I guess, could we see some of those dollars thrown directly at the Request-A-Quote product here? And then just secondly on core local, you've talked a couple of times now about experimenting more with client service, account management, increasing focus on retention. I'm curious if you're seeing any impact that you can kind of talk us through as you've kind of started those initiatives? And then finally just one point of clarification for 3Q with again, kind of the reallocation away from international, is there any kind of revenue headwind you would call out, I'd assume maybe $1 million to $2 million within your revenue headwind in the fourth quarter from that move? Thank you.
Jeremy Stoppelman - Yelp, Inc.: Hi, Matthew. This is Jeremy. I'll take the first question about performance marketing and how does that play in with Request-A-Quote. I think we see opportunity there. It's still early I think both on the performance marketing side as well as the Request-A-Quote side, but it's clear that it's an area worth testing and we have kind of plans to do that in the coming quarters, and so I'd say stay tuned, but I think there is potential there.
Jed Nachman - Yelp, Inc.: Yeah, Hi, Matt. In terms of our retention efforts, we've always been focused on retention, and certainly there are initiatives in place right now, on the product side, on the marketing side, and on the human being side to generally have a great experience for our customers. Specifically, we have a small team right now, what we call local client partners, their job is to up-sell within that category. It's a small team now that we're going to be expanding over the coming quarters, and we're starting to see some initial signs that that has a nice impact on what we're doing. And then on the product side, we continue to focus on improvements that will help businesses see the value in Yelp and stay with Yelp over the long term. And so things like RAQ, make a difference, and servicing of metrics in the business owner's app, and you can see that engagement that's happening on the business owner's app, that continues to kind of get stronger. So that's pretty much the color on retention.
Jeremy Stoppelman - Yelp, Inc.: And on the international front, we will stop selling new accounts pretty much immediately as of today or as of this week. So the business that we have there will trail off over the coming year and it's 1% of current revenues, so yeah, so I guess, it's a headwind, but not much of one, probably not very much in the fourth quarter, and a little bit next year.
Operator: Thank you. Our next question comes from the line of Lloyd Walmsley of Deutsche Bank. Your line is now open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Yeah, thanks. Wondering if you guys can just give us a little bit of color on early tax monetizing, Request-A-Quote kind of how you're attacking, and what responses have been from the advertisers. Any color you can share there? And then, second question if I can. It sounds like you are continuing to evolve the approach to national customers and enhancing the account management role. Can you kind of elaborate on some of these changes and how customers are responding there? Thanks.
Jeremy Stoppelman - Yelp, Inc.: Hi Lloyd. This is Jeremy. I'll take a stab at the first question there around Request-A-Quote and how there is some monetization going there. So, we've been doing some early tests, essentially the flow is consumer starts a Request-A-Quote, flow on any business that they choose. And then, after they submit that quote, they get the opportunity to send it on to additional businesses. And so when we first built the feature, we just put businesses there that matched the criteria that they were already looking at. And now we're bringing in relevant advertisers as the top businesses to send that quote to. So that's our initial product flow for it. Makes a lot of intuitive sense, I think, and we're just starting to bring lots of advertisers into that flow. And so we're just getting the early data on it. But we do know the business owners really are finding value there. You can see that just in – or we've been able to see that just in the responsiveness and how that's gone up over time as businesses started to perceive these. And I mentioned earlier that it's actually driving our business owner app adoption. And so we've seen a really strong uptick there. As business owners realize that responsiveness is really key to winning business, they want to get the app to be able to get the response rate up.
Charles C. Baker - Yelp, Inc.: Yeah. Hi, Lloyd. On the national question, we continue to be really pleased with the national segment and the advancement on the revenue side there. ARPU growth continues to drive as we deepen our relationships with all of our existing accounts. The team is focused both on the new business side and we have a separate team that does that, as well as the retention and renewal side on our National Client Partner team. As a priority for the company, we continue to put resources against this business line, both on the people side as well as on the product side. On the product improvement side, we now have multi-payer functionality, dashboard functionality, which includes the ability to filter by campaign, category, time period, and we now have auto-bidding for multi-location advertisers as well. So we're pleased with the performance of the segment.
Jeremy Stoppelman - Yelp, Inc.: And I would say, just as I look at the national business, if you look at the last few quarters, probably 70%, 80% of the revenue growth from the national channel, it's coming from existing accounts buying more marketing services from Yelp. And these are some of our most sophisticated advertisers. These are advertisers who are measuring Yelp against other digital marketing channels and looking at the ROI on the performance of our leads and the business that we flow to them. And to see that kind of growth from those who have bought Yelp coming back to buy more really encourages us about the long-term potential in our value proposition and our ability to take what we're learning from the national advertisers, and spread it across all the different market segments that we serve. I think the Yelp Knowledge that we announced a quarter ago or so has been really important way for us to start to really mechanically glean from the Yelp user base insights that are so valuable to those national marketers and really turning us into not just an advertising vehicle for them, but really into a local business partner for those national accounts.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: And, Jeremy, if I can, you mentioned that Request-A-Quote is driving business app adoption. Putting aside those early monetization tests, are you seeing those businesses that are engaging more just generally come back and spend more in your existing ad products?
Jeremy Stoppelman - Yelp, Inc.: Yeah, I think it's too early to say. That is something that we're tracking, and we expect to have more data on it soon. But I think there could be potential there; we're certainly hopeful.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks, guys.
Operator: Thank you. Our next question comes from the line of Ron Josey of JMP Securities. Your line is now open.
Ronald V. Josey - JMP Securities LLC: Great. Thanks for taking the question. Just wanted to ask about local selling agencies, I think, as it relates to the sales force. Wondering if you can talk about any early success you've had in working with these local selling agencies, and if that's maybe another reason, Jed, you're doing more with less to a certain extent. And then also wonder if you can update maybe just the mix of local revenue between local, national self-service. I ask only because self-service seeing the strength you're seeing growing sequentially, but then also with national I think you've talked about maybe 20% historically. That'd be great. Thank you.
Jed Nachman - Yelp, Inc.: Yeah. Hi, Ron. In terms of local selling agencies, it's really a greenfield for us in terms of the opportunity there. Certainly, with 135,000 customers, we run into agencies now and then, but recently it has been a focus to penetrate that channel a little bit more, and we've got a bunch of different experiments on the reselling or agency side out there. I would say we are in very early innings there, and I wouldn't really model anything in, but we're certainly encouraged by the ability to go in and take advantage of folks who are out there selling in the local marketplace. In terms of mix, local versus national versus self-serve, I don't think we've given out a percentage on the self-serve side to date, but national continues to be about 20% of revenue. We'd like to see that grow over time. We believe that there is a higher percentage that should be coming from the national segment, and yet we got quite a stalking horse on the 41% growth in the local business right now. And so we'll continue to invest in the national segment and hope to see that move up as a percentage of revenue over time.
Ronald V. Josey - JMP Securities LLC: Thanks, guys.
Operator: Thank you. Our next question comes from the line of Stephen Ju of Credit Suisse. Your line is now open.
Stephen Ju - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks. Jeremy, I think in your prepared remarks you talked about increasing usage among users due to the marketing campaign. Are the incremental users you are bringing in behaving in a similar way versus the existing users? And secondarily, I think for the transactions revenue, brought up food, beauty, and home repair. What other product verticals line up naturally well that you may be thinking about expanding into? And will these be driven more by your internal resources, or do you think you'll bring on more Platform partners? Thanks.
Jeremy Stoppelman - Yelp, Inc.: Sure. Let's see, so the first question was about our increasing user engagement and users overall and how does that connect to marketing. With the brand marketing, really that's been about awareness. Our focus there hasn't been overly on how does that moves a mobile app metrics. That said, mobile growth continues to be robust, 24% year-over-year. We feel really good about that. A lot of that's product driven. We have projects on the SEO side to convert users from the web to app. We also have new useful notifications about new businesses that have also been effective. And so we feel really good about our user growth and how that's coming primarily from organic growth. And so marketing is a nice overlay there, but it's not a driver. I think as we get into more performance-based marketing, we could see more direct connection between the spending and the user metrics. But to this point, it's much more about kind of awareness, consideration, things like that. On the transaction side, you're asking about other verticals that we might extend it to. This is something that we're always looking at there. Particularly on the smaller upstarts – startups that are out there, they're looking for distribution and we're a great place to add incremental usage and users. And so we continue to onboard partners. There's also some other bigger ones that are out there that we'd love to have and we have ongoing discussions all the time. So nothing to announce right now, but I think there continues to be robust interest in plugging into Platform. An example would be Nowait, which was a company with over 3,000 locations that was out there where we started a conversation, and ultimately, brought them onto Platform, and we're seeing some success with that. Our first couple of weekends live across all of those 3,600 locations resulted in a lot of people adding to the waitlist and it's become one of our higher volume transaction partners. So we continue to feel really encouraged at the progress we're seeing on the Platform.
Stephen Ju - Credit Suisse Securities (USA) LLC (Broker): Thank you.
Jeremy Stoppelman - Yelp, Inc.: Sure.
Operator: Thank you. Our next question comes from the line of Brian Fitzgerald with Jefferies. Your line is now open.
Stan Velikov - Jefferies LLC: Hi. Good morning, guys. This is Stan Velikov for Brian. I was just wondering with the freeing of resources from the restructuring, are you planning to do anything special in terms of promotions for the holiday season, probably not so much for the smaller local accounts but for national accounts?
Jed Nachman - Yelp, Inc.: Well, thanks for your question. I don't think we will do anything just for the holidays or just for the seasonal element of the next few months, no. Really what we're looking at is I think something more strategic and a little bit longer-term. I talked a bit earlier about some of the areas we want to invest and those aren't going to ignite overnight, but those are really the big drivers of the business in the long-term.
Stan Velikov - Jefferies LLC: Great. And one final question. Mobile reach has grown about five percentage points over the past year. Where do you think in the long-term that could be helpful for you?
Jeremy Stoppelman - Yelp, Inc.: Yeah, this is Jeremy, I'll take that one. The mobile number that we pay, the most attention to is mobile app, because the engagement there is so strong and so much larger than what we see on the web. So one way to look at what we're getting traffic wise on desktop web (39:45) and mobile web (39:46) is basically a big advertisement from the mobile app. And so mobile app grew 24% year-over-year and so that makes us feel quite confident in continued user growth and page views and therefore inventory to sell.
Stan Velikov - Jefferies LLC: Great. Thank you.
Operator: Our next question comes from the line of Aaron Kessler of Raymond James. Your line is now open.
Aaron M. Kessler - Raymond James & Associates, Inc.: Great. Thanks for the question. Just following up on the last question maybe on ad clicks from the mobile app, I think you said mobile app is about 70% of page views. Would it be a similar kind of percentage range for the ad clicks? And then other revenues I notice is up about 13% sequentially. Do you have any color on that as well? Thank you.
Jeremy Stoppelman - Yelp, Inc.: On the other revenue, it's relatively small part of the overall business and there's just a few ins and outs going on in there. I think that the Yelp Knowledge is a new revenue stream in there, and we have found some pretty interested partners in getting access to that data. But nothing huge to talk about in other revenue category.
Aaron M. Kessler - Raymond James & Associates, Inc.: Yeah.
Jeremy Stoppelman - Yelp, Inc.: I can also talk about the advertising clicks from the mobile app. Yes, there is a larger amount of usage, engagement, page views, clicks, connections, transactions coming through the mobile app per user than there is on the desktop. So that has been a great source of growth for us. I will say, though, that there are some categories that lend themselves more towards the desktop in particularly things like home repair and perhaps auto repair and there are things that people are doing out and about, like restaurants and waiting list and the relative value of a click across those two different platforms may be a little bit different. We don't sell it differently. It's just sort of a function of where the users are coming in and what platform they're using for the various different types of businesses they're trying to get to locally. So, hopefully, that's helpful to you, but it's...
Aaron M. Kessler - Raymond James & Associates, Inc.: No, it's great. And just a quick follow up, I may have missed it, the brand marketing spend in the quarter, did you tell that?
Jeremy Stoppelman - Yelp, Inc.: Well, the total marketing investment, which was mostly brand advertising was a little bit over $12 million, and I believe it was about $11 million a year ago in the quarter.
Aaron M. Kessler - Raymond James & Associates, Inc.: Got it. Great. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Heath Terry of Goldman Sachs. Your line is now open.
Heath Terry - Goldman Sachs & Co.: Great. Thanks. On the decision around international, do you intend to close the sites and app service themselves or is this just eliminating the costs associated with trying to monetize those markets? And then just given the amount of traffic that you still have in those markets, curious how you came to the decision that you did?
Jeremy Stoppelman - Yelp, Inc.: Sure. Hey, Heath, this is Jeremy. So the site and apps will continue to stay up. The scaling back that we're doing is on sales and marketing/community management internationally. We got there because just looking at traffic over the last couple of years it's gone flat to slightly down, and then also on the revenue side, 1% of revenue also pretty flat. So when we turned our attention to the domestic business, we just saw 41% year-over-year local growth. We see lots of opportunities to invest. We couldn't be more excited about our domestic business. So just felt like the right decision to do for the time being would be to focus on our domestic business where we have a huge opportunity and a large TAM. And international, we may come back to in a few years, but for right now, we're just kind of putting it on ice and keeping the site and app up and running.
Heath Terry - Goldman Sachs & Co.: And so is it the right way to think about it that you are between keeping the sites running and building out self-serve the way that you are in the U.S.; that you're potentially keeping some optionality in those markets to come back with a more sales efficient model in the future?
Jeremy Stoppelman - Yelp, Inc.: Well, I think...
Heath Terry - Goldman Sachs & Co.: (43:55)?
Jeremy Stoppelman - Yelp, Inc.: I think the primary concern has just been the distribution landscape. And so we need to find a new approach there, so we can be excited about our overall growth prospects. I think revenue being a portion of that but also traffic too.
Heath Terry - Goldman Sachs & Co.: Great. Thank you.
Jeremy Stoppelman - Yelp, Inc.: Sure.
Operator: Thank you. Our next question comes from the line of Peter Stabler of Wells Fargo Securities. Your line is now open.
Peter C. Stabler - Wells Fargo Securities LLC: Good morning. Thanks for taking the question. One for Jed and then one for – I guess two for Jed. Jed, wondering if you could comment on average contract duration. And when you're signing up a national account, you guys are seeing great traction there on repeat spending. What kind of contracts do they sign? Are these annual? Are they bespoke? Any color there would be great. And then a last one on international, will there be any impact on operating metrics by shuttering that in terms of local accounts ticking down a little bit or anything like that? Thanks so much.
Jed Nachman - Yelp, Inc.: Yeah. Hi, Peter. So on the contract duration, so in the local business sold by the local sales team. We have contracts that range anywhere from 3 to 12 months and then go month-to-month after that initial 12-month segment. We don't break out kind of what the average contract or ex the LTV actually on each individual client and kind of what that contract – and the contract implications. But on the national business they are largely signing national deals that we then have to renew for the following year and we've been really pleased with both the account retention as well as the revenue retention in that segment. Sometimes, we'll go through the kind of the trial phase where somebody will come on and have a search spend for a period of months in order to kind of track the ROI and we have a very high success rate when we're involved in those trials. So, largely it's sold, probably not too much past a year, although we're happy with those review rates within the segment.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks so much.
Charles C. Baker - Yelp, Inc.: I'll take the operating metrics. There will be a small impact up on advertiser accounts. There will probably be a small offsetting effect on average revenue per account, but we're talking about really 1% of the business. So with the growth rates we've got I don't think it's going to be – shouldn't be super detectable impact.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks, Lanny.
Operator: Thank you. Our next question comes from the line of Tom White of Macquarie. Your line is now open.
Tom White - Macquarie Capital (USA), Inc.: Good. Thanks for taking my question. Just a follow up on Request-A-Quote. So at some rate I think historically this feature was kind of an add-on for paying local advertisers. Can you guys give us any sense as to what percent of your paying local advertisers opted in for this? I guess the reason I ask is that I'm curious if you start monetizing this independently, is there a potential that some of your kind of existing advertisers might switch off the core product to just buying leads. How should we think about that? Thanks.
Jeremy Stoppelman - Yelp, Inc.: Hi, Tom. So, the precursor to Request-A-Quote was "message this business" and so that like Request-A-Quote is available to all businesses, you could turn it off, but it was opt-in and you didn't have to be an advertiser to have that link on your business page. And so, for Request-A-Quote today, that same thing, it operates the same way where any business, where they claim their page potentially can receive quotes assuming it's relevant like quotes make sense in that case. And then, as I was talking about how the product is structured, where after a consumer submits a quote to a particular business, they land on a page that suggests other businesses they can send it to that over time will be made up of hopefully all advertisers that have paid us as that part is the paid component, but to actually just receive a quote from your business page will continue to be something that's available to all claimed businesses that are relevant.
Operator: Thank you. Our next question comes from the line of Kerry Rice of Needham. Your line is now open.
Kerry Rice - Needham & Co. LLC: Thanks a lot. A two-part question and then a follow-up. So, repeat rate keeps ticking up and I know you have a lot of different initiatives there, whether it's account management or maybe business app adoption or the dashboard. Anything that you would call out in particular that is seeing a strong tick up usage-wise that would help drive that repeat rate up? And as it relates to the business app adoption, any color on the penetration there from the business users, either the paying users or otherwise. And then, the second question is desktop unique visitors ticked up nicely in the quarter. Was there anything particular you'd call out? Was it around your brand advertising that led to that, you think? Thank you.
Jed Nachman - Yelp, Inc.: Yeah. Hi. On the repeat rate question, I think it's largely due to the fact that we have a really strong recurring revenue base and as a percentage of revenue kind of that base continues to grow versus new customers. And so, there is no magic bullet in terms of what is driving that outside of kind of the core business model. And we'll certainly going to try everything in our power to kind of move that rate up over time as well. It bodes well for the business if we can get a lot more repeat business.
Jeremy Stoppelman - Yelp, Inc.: Yeah. And this is Jeremy. On the desktop unique visitor side, I think there's no particular smoking gun on that. There's been some ongoing Google algorithmic updates, and so those seemed to be neutral to positive. We also continue to invest resources in doing search engine optimization to make sure that we're reaping the maximum benefit from our content. So I'd say some combination of those factors, but we don't have a one single thing to attribute it to.
Operator: Thank you. Our next question comes from the line of Brian Nowak of Morgan Stanley. Your line is now open.
Brian Nowak - Morgan Stanley & Co. LLC: Thanks for taking my questions. I have two. Just to go back to the traffic, I'm sure we're all overly familiar with some of the recent Google changes and reported impacts on your users, yet user traffic was strong. Does that continue into the fourth quarter? And then does traffic come up among your advertisers, is that one of the reasons why as a gating factor why advertisers might leave or not join? Just talk about do you need to spend to potentially fix your traffic longer-term? And, then, Lanny, now that you're more focused on the U.S. given the international changes; have been on the seat for a little while, can you just talk about the long-term incremental margin potential of the core U.S. business? Thanks.
Jeremy Stoppelman - Yelp, Inc.: Hey, Brian. It's Jeremy again. So, yeah, traffic continues to proceed as expected and continues to look good, so nothing to report there. And just a reminder that 70% of our page views come from mobile app, and that's up 24% year-over-year. So, I think there might be some numbers floating out there by third parties, around our traffic numbers. But we kind of reported what we've got here. You also mentioned for advertisers is traffic an issue. And I would say, no, we have lots of inventory to sell, and so even if traffic didn't move from here, we could go quite some time, continue to be productive. I think the factor that may impact advertisers is much more around, do they get customers. That's not necessarily like a overall Yelp traffic question, that's more of a – for that particular advertiser, were they able to get a good ROI, and so obviously that's something we focus a lot on. We have a lot of functionality around that, and then also we invest quite heavily in our ad system to make sure that we deliver value for the advertisers, and they do see more views of their page, and therefore more leads and more business.
Charles C. Baker - Yelp, Inc.: From a long-term incremental margin perspective, we've laid out historically, I think back at the time of the IPO even, what the long term profitability potential of the business model is, and what we have thought it to be. And I think today we're pretty close to that long term target on a couple of the lines, D&A and gross margins. The big places of leverage incrementally from here are – it's around sales and marketing, as well as product development and G&A, and those are all things that, I mean, I guess from product development and G&A base scale, the leverage there comes with the revenue growth. And on the sales side, it's a matter of finding – continue to be productive in our core mainstream engine of local sales and then adding other channels like we've talked about, continue to enhance the leverage that we see there. So, this quarter, 50% of the revenue growth year-to-year and we weren't doing anything heroic in terms of sort of expense management. I think that's a pretty sort of candid flexing of the operating leverage within the business model. And then it comes back to the question of how much should we be investing to drive growth, and I think we believe that with 130,000 advertisers today, the strength of the product offering that we have and the size of our market, that there is a lot more room to invest than there is sort of urgency around harvesting at this point. So, you've seen over many of the quarters this year what kind of leverage we can drive. I think what we're trying to communicate is, we are going to invest pretty aggressively to drive this business over the next several years.
Brian Nowak - Morgan Stanley & Co. LLC: Great. Thanks.
Operator: Thank you. And our last question comes from the line of Youssef Squali of Cantor Fitzgerald. Your line is now open.
Youssef Squali - Cantor Fitzgerald Securities: Hi. Great. Thank you very much for squeezing me in. Couple of questions please. Jeremy could you give us your thoughts on the competitive landscape, particularly given what Facebook has been doing recently with Marketplace, food delivery announcements, et cetera. And then Jed going back to what you said earlier, I think, you said something to the effect that you're in the process of decoupling head count growth from revenue growth. So, the assumption here is that the 20% to 30% guide you had for the year is no longer relevant, maybe you can update that? And also, just going forward, as we look out to beyond 2016, how should we think about that metric? Thanks.
Jeremy Stoppelman - Yelp, Inc.: Yeah. Thanks for the question. It's Jeremy. Talking about Facebook and the competitive landscape, I mean it's pretty much an annual process at this point that Facebook and also you could throw Google in that bucket, launches something that is branded in the media as a new Yelp killer. And literally, I have looked in, if you go back every single year, and I think what that says is actually there is a pretty big moat around Yelp's business. We have 150 million reviews, it's up 30% or 29% year-over-year, which means a lot of our content is actually quite recently submitted. And so, the insights that we have on local businesses and the ability that we have to connect people with the best ones and help them transact is, I think something very unique in the marketplace. So I feel better than ever frankly about our competitive position right now. And I guess the final point on that is when you think about Facebook as a company, it's like their best people are working on their top priority and it's very clear that local is not their top priority, it's just something that they throw in the mix. At Yelp, we only have kind of one thing that we're focused on, which is this connecting people with great local businesses and that's what our best people are working on every day.
Jed Nachman - Yelp, Inc.: And Youssef, on the sales head count side, we're actually relatively in range of what we've got to do for the year on the 20% to 30% range in terms of head count growth and we still want to grow as aggressively as possible kind of given the opportunity. When I referenced the decoupling, clearly, we don't want to go out and hire 10,000 sales people over time in order to go grow the business and the more leverage we can get out from a productivity standpoint and kind of focusing on areas of the business that don't necessarily require a huge head count investment, those are very attractive opportunities for us. So, when you look at both the self-serve segment, which doesn't have head count necessarily associated with it on the sales side as well as the national segment, where we're able to kind of drive deeper from a budget perspective into our largest national clients. It's very attractive from a business model perspective. That being said, you're going to continue to see us grow head count aggressively. We haven't given kind of any guidance for 2017, but we are hiring now to fuel growth in the future.
Youssef Squali - Cantor Fitzgerald Securities: Okay. Thanks a lot.
Operator: Thank you. And, that does conclude our Q&A session for today. Ladies and gentlemen, thank you for participating in Yelp's Inc. conference call. This does conclude today's program. You may all disconnect. Everyone, have a great day.